Operator: Good day and welcome to the DHT Second Quarter 2016 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Eirik Uboe. Please go ahead, sir.
Eirik Uboe: Thank you. Before we get started with today’s call, I would like to make the following remarks. A replay of this conference call will be available at our website dhtankers.com through August 17, 2016. In addition, our earnings press release will be available on our website and on the SEC's EDGAR system as an exhibit to our Form 6-K. As a reminder, on this conference call, we will discuss matters that are forward-looking in nature. These forward-looking statements are based on our current expectations about future events including DHT’s prospects, dividends, share repurchases, and debt repayment, the outlook for tanker market in general, daily charter hire rates and vessel utilization, forecast of world economic activity, oil prices and oil trading patterns, anticipated levels of new building and scrapping and projected dry-dock schedules. Actual results may differ materially from the expectations reflected in these forward-looking statements. We would like you to read our periodic reports available on our website and on the SEC’s EDGAR system including the risk factors in these reports for more information regarding risks that we face. I’m joined by DHT's Co-CEOs Svein Moxnes Harfjeld and Trygve Munthe. And with that, I will turn the call over to Trygve.
Trygve Munthe: Thank you, Eirik. Good morning and good afternoon to everyone and thank you for joining the DHT second quarter 2016 earnings call. As we have done in the last few quarters we will go through a short presentation on the highlights for the quarter before we open up for your questions. You can find the link to the slide deck on our website, dhtankers.com. Before we go into the details, we just wanted to say that this has been a rock solid quarter for DHT. Best in class VLCCs spot earnings coupled with low costs have delivered our best quarter net income ever. If we then turn to the operational highlights for the quarter, we are pleased to inform that during the quarter extended the time charter for DHT Amazon to October next year at the rate of $44,100 per day. We currently have six out of the 18 VLCCs in the water on time charters. In addition, both of our Aframaxes are on fixed rate time charters. Last Friday, August 05, we took delivery of our fourth newbuilding VLCC from Hyundai Heavy Industries. She is now on the way to her first load port. During the quarter we sold the DHT Target, the 2001 built Suezmax for $22.5 million. She was delivered to the new owners on the 11 May. And during the quarter we continued our deleveraging program. Bank debt was reduced by $42 million of which 16 were extraordinary prepayments. For the second quarter our spot VLCCs sailed in $53,300 a day. For the first half of the year the number is about $58,000 per day. And for the third quarter we have so far booked 52% of our spot days at $26,700 per day. This relatively weaker number comes as a result of our tactic of fixing short voyages once the spot market came off. The motivation for this was to ensure that we would be there and get timely participation in the rebound. Further, given the lackluster market we have opted to accelerate our drydocking schedule. Quarter-to-date, we have dry-docked three VLCCs that were due this year and expect to take another one or two ships before the quarter is over. P&L highlights, as we said at the beginning of the call, the second quarter was very good for DHT. Topline came in at $83 million driven by competitive spot earnings. Operating expenses and G&A were both sharp, so combined we generated net income of $35.6 million with a basic earnings per share of $0.38. And for the quarter we will pay a dividend of $0.23 per share. And with that, I'd like to turn it over to Svein.
Svein Moxnes Harfjeld: Thank you, Trygve. On our balance sheet, as a general comment, we consider our balance sheet to be in good health and as such providing DHT with staying power through the business cycles. We have paid in all three delivery installments to the shipyard in connection with our newbuilding program and this is reflected in the quarter and the cash balance. Our leverage is comfortable with interest bearing debt to total assets of 44%. We have two remaining newbuildings to be delivered towards the end of August and in mid October. Then onto our cash flow. Reflecting our solid spot and time charter earnings during the quarter, net cash provided by operating activities came in at $46 million. We paid the final pre-delivery installment of $9.7 million during the quarter. We repaid bank debt of $14 million as well as $12 million in connection with the sale of the DHT Target. In connection with our de-levering efforts, we also prepaid $16 million of bank debt and the dividend pertaining to the first quarter of the year was paid with $23 million. This slide illustrates how we have allocated our capital over the past year and a half. In line with our prior communication, our earnings have enabled us to pay handsome dividends whilst at the same time de-levering our balance sheet. Whilst we've had a keen focus on de-levering and through that achieving our robust cash breakeven levels moving forward we will consider allocating cash towards other purposes such as investments and/or repurchasing our own securities. As for potential investments, asset prices have come down some 20%, 25% and are approaching levels where it could be interesting to acquire ships. We are in the thick of things and have an excellent deal flow, but we are in no rush to act. We at DHT have all along focused on combining spot exposure with a portfolio of fixed income through the time charters. We have built a book of time charters to oil majors that have a meaningful contribution to our earnings as well as reducing their volatility. The average rate secured for our VLCCs on time charter is a strong $44,400 per day. For our fleet overall, we have for the next four quarters secured time charters for 31% of our ship days covering more than 50% of our expected cash cost for this period. We would like to think of this as a positive factor setting DHT apart in the crude tanker space. And with that, we will open up for questions.
Operator: Thank you. [Operator Instructions] And we will take the first question from Jonathan Chappell with Evercore. Please go ahead.
Jonathan Chappell: Thank you, good afternoon guys.
Eirik Uboe: Good morning.
Jonathan Chappell: Just a very quick one, thanks, three quick ones from me today. First of all Svein, on the, you talked about the asset prices coming down. I am just curious about financing alternatives if you were to move forward obviously with 60% earnings coming out in the dividend policy, yet you've brought the leverage down significantly Samco acquisition. So would you target 50% to 60% financing for that, is that available in today's bank market? And then also would you look to maybe continue to sell some of the older vessels in your fleet to help fund modernization?
Svein Moxnes Harfjeld: As you've seen in the past we would typically apply 50% leverage on acquisition costs and a key motivation in this is to achieve the robust cash breakeven levels that we already have in the company. We enjoy excellent support from our current banking universe and they are well versed in our strategy and there we hold regular dialogues with them and we would like to think that conventional mortgage financing is available to us or not to the similar terms to what we already have in the fleet.
Trygve Munthe: And to your last part of your question, we don’t think we are sellers at these price levels. So as you've seen what we have done and values have come off since and we are not very tempted to sell at these price levels.
Jonathan Chappell: Okay, understood. And then just a clarification on the dividend, obviously, in the 60% basic earnings you've been very clear and consistent with that. Just curious, in this type of environment where you booked more than half at 26/7 the market is a little bit weaker than that right now. If there were to be a quarter where the arithmetic 60% of something got you to less than a penny of dividend, would it be zero or is there some kind of minimum level that you would pay even if the math says it should be less than that?
Trygve Munthe: I think as you like we have a formula that results in a variable dividend. That such situation this will certainly be up to the Board to discuss whether it will then strictly follow the formula or do otherwise. So that's all we can comment on that.
Jonathan Chappell: Okay, I understand. And then finally, three drydockings potentially four to five for this quarter. Can you just speak to the off hire days and costs associated with that? And then also since it has been accelerated does that nothing to the fourth quarter or for 2017?
Trygve Munthe: I think there will be a rather busy third quarter in terms of drydocks. A number of our days are in the 25 to 30 day range for a drydock including positioning and the cost of these are in the two and a half approach to the higher $2 million. There will still be some activity in the fourth quarter, but these are a little bit more modern ships and shorter durations and also less cost associated with that. We have six ships that will go to drydocks next year and that is evenly spread through the year pretty much. And those service are predominantly first and second special charters whereas some other ones we're doing now are also third special service.
Jonathan Chappell: So the ones were first and second maybe be only 10 to 12, 10 to 15 days so far?
Svein Moxnes Harfjeld: I think the off-hire time on the first vessel is marginally less of course than the second and the third, but the coast is meaningfully less. So it is really you got to take some time to reposition to the yard, you need to [indiscernible] and there is a few other things that have to happen there on the health and safety aspect of that, so but it is mostly on the CapEx that you see the meaningful change in the near end of the spectrum.
Jonathan Chappell: Got it. All right, thank you Svein, thanks for that.
Operator: Thank you. The next question will come from Spiro Dounis with UBS securities. Please go ahead.
Spiro Dounis: Hey Svein and Trygve, how are you?
Svein Moxnes Harfjeld: Good thanks.
Spiro Dounis: Good, just I wanted to follow up on Jon's first question on the investments and maybe what your preference would be in terms of newbuildings, re-sales or on the water assets?
Svein Moxnes Harfjeld: I think all along we've been very price and quality focused. So it is not a particular focus on the shipping one year old or six years old. We want to get the best value that at such time will be available to us. But I think you could safely assume that the ships will be little south of 10 years, of age.
Trygve Munthe: I think also maybe we should tone it down a little bit. It is not like we are ready to go out and invest at this point. We just wanted to signal that from having a very keen focus on de-levering, we are now really opening up for other uses of cash. So, but it is not to be interpreted that we are ready to pull the trigger on big investment programs.
Spiro Dounis: Okay, I appreciate that clarification. And then you mentioned deleveraging and I guess it looks like you've got about $65 million in cash now, you've made a really good dent on the deleveraging front. Looks like over the next 18 months, about $96 million coming due or amortizing, how should we be thinking about you paying that down or refinancing that going forward?
Trygve Munthe: I think what you really are addressing is the one bank facility that we have with RBS, credit facility that is coming due in July next year. At quarter end the balance in that loan was $47.5 million with secured against two deals [indiscernible]. We will according to the loan agreement pay another $7.5 million here shortly. So we will have a balance of $40 million against four ships and we don’t think that is very problematic to either refinance or to pay down over the 12 coming months. So it's really not a big deal the way we look at it.
Svein Moxnes Harfjeld: To put that $40 million in perspective, according to the market value our ships are about 90 and the scrap value of those four ships is about 30. So $40 million on that is certainly we think very manageable.
Spiro Dounis: Got it, I appreciate the color. Enjoy the rest of your summer guys.
Svein Moxnes Harfjeld: Thank you.
Trygve Munthe: Thank you.
Operator: [Operator Instructions] And we now move to Herman Hildan with Clarksons. Please go ahead.
Herman Hildan: Good afternoon, Svein and Trygve. My first question, you mentioned that you've accelerated some drydockings due to the weak markets. Are they all kind of in current spot environment are you willing to call it hold back vessels in order for it to wait for a better market or how do you kind of approach the current weakness also in light of what should be a better winter market ahead?
Svein Moxnes Harfjeld: I think as we speak there is not really any big movements in the freight market. There is some marginal [indiscernible] now in what there seems to be a potential recovery. So now it is more important for us to keep the ships trading efficiently and when you find the cargo that feeds your ship and the natural dates that is typically the preference.
Trygve Munthe: But as we said also that the focus has really been on short voyages rather than long and we also adjusted our [indiscernible].
Herman Hildan: And also a second, could you give some color on where you think this will [indiscernible] make a meaningful turn of the market, is there any particular things you are watching for, looking for or…?
Svein Moxnes Harfjeld: I think we think there is, well there is two kind of key components that have driven the market to where we are today and one obviously there is more fleet growth this year than what we've seen over the past couple of years. So that has some impact. But also these supply disruptions in the Atlantic Basin it seems that the Middle East has taken off that void space as a supplier and as a consequence of that you had some contraction in sailing distances over the past few months. So that is really we think where we are right now, but we all know these trading patterns and these supply situations is not a static situation. So these things can clearly change around again. The big question of course is when it will happen.
Herman Hildan: I see, and also on your older comments, it appears that you've not really seen any discount on those ships and in particular could you give some color on how they are performing relative to your modern vessels in the spot market?
Svein Moxnes Harfjeld: I think in the market were we have been it has not been handicap to our ships over their pictures, provided that they are in good condition. As you have noted all of the ships we have taken through the special survey and come out with a capped one which is the requirement from certain truckers. So for us it has been very meaningful to do the investments in the third special and keep on trading and as you well know our August VLCC, the Phoenix, is enjoying a time charter rate of $45,000 a day at the moment, so very strong contributor to the overall earnings of the company.
Trygve Munthe: Just to put that capital in perspective also, our older ships, they are really in very good condition and maintained good integrity. So as we talked about earlier on this call, the third specials are roughly in the $2.5 million range, whereas we know other participants in the markets have ships of similar vintages, where they spend easily the double of that to put ships through service. So again, the CapEx program we have is a reflection of our ships in general being in excellent condition.
Herman Hildan: Good and the final question that I am finding hard to asking state this quarter on ship I heard [indiscernible] values low cash breakeven you accumulated cash, what would you spend them on if the world looks like this, where do you want to spend some money?
Svein Moxnes Harfjeld: I think as we’ve said, we’re now going forward, envisage ourselves allocating cash towards other purposes such as investments and/or repurchasing our own securities. So then and as previously said, here also we are in no rush to go and buy ships. So we will find the right time to do either of these or both.
Herman Hildan: Thank you very much.
Svein Moxnes Harfjeld: Thank you.
Operator: And we’re moving to Fotis Giannakoulis with Morgan Stanley. Please go ahead.
Unidentified Analyst: Hey guys. This is actually Ben stepping in for Fotis. Just one quick question kind of broader and touched upon a bit earlier on the call, but for asset values, you mentioned they come down and they’ll likely continue to come down, but do you see different trajectories for either newbuilds and second-hand vessels or different trajectories for various ages just in terms of their overall values?
Trygve Munthe: I think typically, when you see a market in the, kind when asset prices have a negative trend, the older spectrum tends to move more in percentage terms than the newer part of the range. That being said, I think the buyers that are out there today are very professional companies. It’s public, some of the public entities, it is some of the well, top class private owners out there, and they will always look for value, and whether the assets are seven years old or two year old or brand new ship. So, I think they will want to look at the quality of the assets. The ship yard comes out of potentially prior ownership history, et cetera. So from a brand new down to the maybe six, seven, eight year old, it’s probably rather efficient pricing, but in the older spectrum and also in the smaller asset class, I think Aframaxes are probably taking a bigger beating on the decline in values than what the big ships have got.
Unidentified Analyst: All right, thank you so much guys, I'm turning it back.
Trygve Munthe: Thank you.
Operator: Thank you. And we are moving to Noah Parquette with JPMorgan. Please go ahead.
Noah Parquette: Hey, thanks. I wanted to ask about the charter expansion for the DHT, Amazon. It’s pretty good rate. Can you talk a little bit about was there an extension option there or kind of how did you secure kind of above-market charter line?
Trygve Munthe: It was, as you say, it was an extension on existing charter party, same client. And as we have said, we did this during the quarter and we can then inform you this was done in the middle of the quarter, more or less. So arguably, we were fortunate in the timing as this was done before really the spot market came off.
Svein Moxnes Harfjeld: It wasn’t an option. It was a negotiated extension.
Trygve Munthe: Yes. Very much so.
Noah Parquette: Okay, aAll right. That makes sense. You’ve been operating some of the newer ships for a few quarters now. Can you give us some color about the vessel OpEx that they use versus the older ships? Any sort of discount or savings?
Svein Moxnes Harfjeld: I think there are two aspects here. One is the fuel efficiency of these new ships. I think on average compared to a 5, 10-year-old ship, they consume some 20 tons per day less of fuel, and we’ve seen that in real life now. So we’re very pleased with that part of the performance. Typically, when you have a new build, you have very limited maintenance and really no spare part, supplies and not in the beginning. So your OpEx for the first year will be less than a ship that’s been operating for a couple or three years. So there are some benefits on the OpEx side at the get-go in the first 6 to 12 months.
Noah Parquette: Okay. And then I mean there’s some talk about it about contango and floating storage. Have you seen any interest from charters for options on floating storage in your discussions?
Trygve Munthe: No, not really, not in a big way. There have been some people out there recently sniffing for very option-loaded, short-term time charters, and it has not been of any interest to us. But some people have been out there trying to get things done, but it’s not in a big way as far as we can observe.
Svein Moxnes Harfjeld: So we have seen of late some of the traders coming asking for rates for 6 or 12 months, but maybe not storage driven, more just trading driven. And what do we read into this, is just an anticipation of recovery in the freight markets over kind of forward movements of cargo that we see. It’s hard to say. We're trying to take advantage of the little bit lower rates right now potentially.
Noah Parquette: Okay, that makes sense. Thanks.
Operator: And we’re moving to Jonathan Staubo with Fearnley Securities. Please go ahead.
Jonathan Staubo: Hi guys. A quick one just follow up on the financing. I see that you drawn down $43.5 million on the delivery of the Panther, could we assume relatively similar levels for the remaining two newbuilds?
Trygve Munthe: There’s actually a slight difference between the two, and as I’m sure you’re aware in most loan agreements for newbuilds there’s a value test on draw down. So for the Panther and for the Puma, which is in the same facility, there is limitation how much you can draw down at 50% of the market value of the vessel on delivery, whereas for the Tiger, which is the last one, that’s 60%. So that’s the reason why we drew down a couple of $4 million less than anticipated on the Panther, and we would expect the Puma to be basically the same. But importantly, this is sort of a onetime covenant on draw down. After that, there’s minimum value clause saying that the value needs to be minimum 135% to the loan. So once drawn down, we have plenty of headwind against that running covenant if you understand.
Jonathan Staubo: Thanks a lot and that was really going to be my follow-up really on the value clause on delivery. So that wasn’t your choosing taking less than what was available? It was what was really available due to the market value?
Trygve Munthe: That’s correct, and then, of course, if we would have wanted to borrow more, I’m sure we could have done it, but this is the way of de-levering as well.
Jonathan Staubo: Perfect, thanks a lot. That’s it from me guys.
Operator: Thank you. We’re moving to Amit Mehrotra of Deutsche Bank. Please go ahead.
Amit Mehrotra: Yes. Thank you, operator and good afternoon everybody. So, my first question is just a followup on your most recent comment regarding the loan-to-value test. I could be wrong, but it didn’t seem to me that it’s a secret that there could be a difference between where the appraisals come in and what you can get for the vessels if you were to sell them today. And the question is, first of all, do you agree with that or am I wrong in that assumption? And also just so I – just to educate me a little bit, what the mechanism is that causes that discrepancy?
Trygve Munthe: I think it is important to recognize that this is based on broker assessment of values. And as a general comment, at the bottom of the market, you cannot find any buyer at sort of the broker valuation assessment. And similarly at the peak of the market, you can’t find a single seller at those levels. So it is based on broker’s best estimates, willing seller, willing buyer, and that’s the way the industry has been operating for decades.
Amit Mehrotra: Yes, okay.
Eirik Uboe: Just keep in mind some of actual sales on our ships we have invested a bit a little extra beyond the specifications, and then we obtain at particular evaluation on our ships head of this – that is obviously also considered into that calculation.
Amit Mehrotra: Right. So, I guess, when we think about the capital structure how it moves, we shouldn’t really look at today sort of market values in terms of getting a deal done but really sort of more efficient market in terms of a willing buyer and a willing seller, and that’s kind of the more right way of looking at it, I would assume?
Svein Moxnes Harfjeld: Yes.
Amit Mehrotra: Okay, good. Let me just ask you a couple more. One is just obviously, an overall market question. If we sort of rewind 12 months, the story for this year, at least for the industry, was that most of this year would be actually pretty good because supply growth was heavily skewed to late this year. And in fact, we’ve had 25 deliveries year-to-date, which is sort of more than what’s been delivered the entire year for the last several years, and we still got many new deliveries to the end of this year. So I understand there’s some exogenous factors in Nigeria and Libya that could either drive the market down or up, but given this sort of wall of supply that’s still to come and the wall of supply that we’ve had year-to-date, how do we paint a bullish picture for the next 12 months? Are we going to be in this kind of weaker market for the next 12 months before people start looking out to 2018?
Svein Moxnes Harfjeld: I think as we have said all along, we do not expect the next 12, 18 months to be as strong as the past 12 to 18 months, but that’s in our industry, every kind of part of the cycle presents opportunities. And in the case for DHT, we stand to benefit over a very healthy balance sheet as well we are also now having a meaningful portfolio of time charter income. So hopefully this will put the company in position at the right time to also to make something out of somewhat weaker scenario and then play it again if you like.
Amit Mehrotra: Yes, I guess the only sort of nuance to that is when you say it’s going to be a little bit weaker, it’s not - doesn’t give us a lot of information because last year was so, so strong. So the question is really do you think we could be sort of below all-in breakeven levels or do you think the market recovers as we move through the end of the year to above breakeven in the $30,000, $40,000, $50,000, $40,000 a day level? I know that’s a hard question to answer, but I’m just trying to understand the movements of demand and supply prospectively how we can sort of create a story, where we say that moves – rates move up significantly from here?
Eirik Uboe: It’s an impossible question to answer about the future. But I think the fact of the matter is that on average, we made $58,000 a day on our spot fleet for the first half of this year and cash breakeven that we have for our spot fleet for the second half of the year is about $15,000 a day. So I think that should give us some opportunity to still generate cash for the remaining part of the year.
Trygve Munthe: I think you should recognize from our prior comments that we are pretty humble. We think it’s very difficult to have a very narrow prediction on where rates are going to play out over the next 12 months. Hence, we have managed DHT the way we have that we always look out to protect the downside but to certainly not to give away all the upside, and I think that’s exactly how the company’s positioned today. As Svein said, the very robust breakeven levels, strong balance sheet, yet we have 14 VLCCs in the spot market. So we feel that we’re happy as one of our colleagues said come rain or come shine.
Amit Mehrotra: Okay. Let me ask one more specific one related to your comments about shorter sailing distances. And I just wanted to know if you could elaborate on that a little bit because it obviously has implications to how the incremental demand and how the supply can be absorbed. And so, my question is, is that could you just talk about the drivers of maybe though shorter sailing distances whether it’s, I guess, U.S. imports or exports or maybe some other factors? And then how many – and then also related to that, how many voyages per year do you think VLCC actually does because I’ve heard anywhere from 4.5 on average to 5.5 to 6 on average, and obviously that has huge implications for overall supply. So I don’t know if you can sort of offer any updated thoughts on that?
Svein Moxnes Harfjeld: It is a bit of a moving target throughout. So what’s happened so far this year is we saw some of these outages or supply disruptions in the Atlantic Basin, whereby the Middle East is kind of stepping up. People talk about refinery markets being thinner than what they were last year, and that’s all fine, but it seems to have demand for oil is pretty stable, and it is growing still. But obviously when a refiner that saw some feedstock from West Africa certainly and are based in Asia, so they look to the Middle East then sailing distances go down. But as we said history, at least indicates that this is not a static picture. It’s continuously moving picture and which is part of the aspect of our industry. So various reports, they have different ways of calling and counting and all that, but we just think the sum of what we see is that there is, has been a contraction so far this year, but that is not a continuous trend that it will continue to contract. I think the Middle East or the Asian refiners, their closest source of crude. So in a way you can argue that there’s only upside to that if that gets back on. Some people talk about round voyages of 55 days on average and others say now down to in the high 40s, so that could maybe the delta that you look at rather than counting how many voyages per year.
Amit Mehrotra: Okay. That is really helpful. Thank you for answering my questions. I appreciate it.
Svein Moxnes Harfjeld: Okay.
Operator: Thank you. And we’re moving to Magnus Fyhr of Seaport Global. Please go ahead.
Magnus Fyhr: Yes, thank you. Congrats on a good quarter. I just had one question left. To clarify your thoughts on your buyback versus buying assets, I know you said you’re not out there looking aggressively to buy assets, but with the stock trading at such a big discount to NAV, maybe you can just clarify your thoughts on that? Thanks.
Svein Moxnes Harfjeld: I think as we said, we are in no rush to really invest, but when it comes to the securities repurchasing program that we have, we will report on that quarterly as to OpEx and we have been active in that. So there’s no particular guidance beyond that, Magnus.
Magnus Fyhr: Okay, but just – you have – you know your assets very well and rather than buying assets in the open market, would you – I’m just kind of getting some thoughts on what if you would buy your own assets through your shares.
Trygve Munthe: Yes, I think that as we have pointed out before, buying your own shares is levering up in a way and we spent a lot of resources on levering down. So I think everything else being equal it would be more tempting to buy the convertible note than the common stock. NAVs is moving target and it all reflects on where you think it’s going to go and all that, but sure, all else being equal, with a discount that we have seen from time to time it is, indeed, tempting.
Magnus Fyhr: Okay. All right, thanks for clarifying.
Operator: And the next question will come from [indiscernible] with DNB. Please go ahead.
Nicolay Dyvik: Hello this is Nicolay from DNB calling. Sorry to drill down on the same topic, but just this buyback versus investments and dividend, you paid 60% this quarter. Should call it investment buybacks be in addition to the 60% or you call it counting back on the 60%?
Svein Moxnes Harfjeld: No, the currency policy that has been communicated states 60% of ordinary net income as quarterly cash dividends and it talks about repurchasing of cash flow excess, the available in excess, so that is the current policy at this time.
Nicolay Dyvik: So what you’re saying is no change, but you look to do something in addition with a probably larger scale when time is due in addition to the 60%?
Eirik Uboe: No, what we tried to address is that the 60% in dividends is of net income and then the cash flow available beyond that, we have used predominantly on de-levering the balance sheet and then now.
Nicolay Dyvik: That could change, okay.
Eirik Uboe: Yes.
Nicolay Dyvik: Yes, okay. Very good. Thank you.
Eirik Uboe: Thank you. Operator And we’re moving to Erik Stavseth with Arctic Securities. Please go ahead.
Erik Stavseth: Hi guys. You’ve previously shown how you’ve been managing the cycle and you put out neatly how you kind of what you did the various parts of the cycle. Where would you put those now? What part of the cycle that you’ve been showing are we now?
Trygve Munthe: What part of the cycle?
Erik Stavseth: Yes.
Trygve Munthe: That is the question. Yes we were in correction phase or whatever you want to call it. The values have come down first, and then the spot market is currently somewhat depressed. So we’re definitely on the down slope whether we are at bottom or there is nowhere to go or whether it is going to be a short term in the recoveries close by and it is going to take some time. That is a little difficult to call. So we think as we have expressed before that, yes there is probably a bit too many new ships coming into the market this year and the beginning of next, but they are attractive and interesting bullish signal now is that ordering has been quite limited. So we think we already find ourselves with a smaller order book than we did at the beginning of the year and we'll end this year with definitely a significantly smaller order book. So you are starting to see the contours of sort of 2013, 2014, all over again.
Erik Stavseth: Okay, thanks.
Operator: Thank you. And there are no further questions at this time. So, I'd like to hand it back over to the speakers for any additional or closing remarks.
Eirik Uboe: Yes we will just thank everybody for your continued interest in DHT and wish you a good day.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation ladies and gentlemen and you may now disconnect.